Operator: Good morning. My name is Stacy, and I will be your conference operator today. At this time, I would like to welcome everyone to Savaria Corporation's Q1 2021 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] This call may contain forward-looking statements which are subject to the disclosure statement contained in Savaria's most recent press release, issued on May 11, 2021, with respect to the Q1, 2021 results. Thank you. Mr. Bourassa, you may begin your conference.
Marcel Bourassa: Thank you, Stacy. So Bonjour everyone. It's pleasure to present to you our Q1 with my guys. [Indiscernible] have a lot of experience on acquisition, [Indiscernible] integration, it's my son, so they will answer, you can ask directly the answer to them or if not I will refer to my specialist. But I am very excited to present you Q1? Why I am excited? I think we make a mega acquisition with Handicare that put us on [Indiscernible] and we have done that in our Q1 case, I think with sales we could beat the street, our adjusted EBITDA could beat the street and you will see that that will continue throughout the year. So we have a next segment that's important when you make a mega acquisition to have a good start and we have a great start. And the people I repeat, the people are enthusiasts to work with that’s directly in person, but we met a lot of people from Handicare and they are great people, and they want to focus with us to have the same goal, to have the people make the products for people, the aging of the population. And it's more accurately stay on with Savaria, I think that's a great logo that many people, many old people, they want to stay at home, they want to stay at home. So my people will work hard. Thanks to my people. And my people who are in acquisition, the people that we make the acquisition work very hard. We are on the same page. And imagine one thing, we have span, we have [Indiscernible] we have been together and we have Savaria. So, it's not just Handicare and Savaria now that's Handicare and with the products -- span with the patient anything. It would be tremendous what we will do for North America in this division. We don't have to forget that. And after that, we have that event they are in Europe. We'll try to make some cross setting with Handicare and we’ve already begin that with Handicare and get some products. So what made the success of company? It's I think, three item, that is very-very important to make success is products, territory, people. You can see if you want people first -- quite important. And that's exactly what we have with this key acquisition. So its front, the result will be there, for further results on fitting our products to join together will be more there in 22. But we already begin that on the cross setting. So it's great and we have one goal, I don't say before I retired. So Sebastian, don't get too excited. But I will stay at least until 2025 to meet my personal goal and the personal goal of my people to reach 1 billion of sales by 2025. For sure, it will take good internal growth that we can do. We're in better position than ever to make into internal growth and it is some little acquisition here and there to make some complement. So I am very excited, but it's time to begin to your question. And again thank you very much to be there. And I read some people this morning about what they think about our Q1 and the future, we see some upgrade from some broker. Thank you very much and our success is the success of my analyst too. So we're ready for the call.
Stephen Reitknecht: Marcel you want to give the financial update? 
Marcel Bourassa: Yes. Absolutely. Absolutely. That's you Steve.
Stephen Reitknecht: Thanks, Marcel and good morning everyone. I'm going to begin with some remarks regarding our Q1, 2021 consolidated financial metrics. For the quarter, the corporation generated revenue of $112.1 million up $23.7 million or 26.8% compared to Q1, 2020, mainly due to the acquisition of Handicare on March 4, 2021. Gross profit and gross margins stood at $38.9 million, 34.7% respectively, compared to $30.1 million and 34.1% for Q1, 2020. The increase in gross profit over prior year was attributable to the acquisition of Handicare as well as a favorable product mix. Adjusted EBITDA and adjusted EBITDA margin stood at $17.3 million and 15.4% respectively compared to $12.4 million and 14% in Q1, 2020. The increase in adjusted EBITDA and adjusted EBITDA margin were mainly attributable to the acquisition of Handicare as previously mentioned, as well as $1.1 million and COVID-19 employment retention Government of Canada subsidies received during Q1, 2021 as well as continued cooperation wide cost containment efforts. Now I will move on to our segment results. Revenue from our accessibility segment was $80.6 million in Q1, 2021, an increase of $18 million or 28.7% compared to Q1, 2020. The increase in revenue was mainly attributable to the acquisition of Handicare which contributed an increase of 34% while organically revenues contracted 4% and foreign currency also had a negative impact of approximately 1%. The contraction in revenues is the consequence of the economic slowdown caused by the global pandemic, impacting the entire first quarter of 2021 while having a minimal impact last year in Q1, 2020. Adjusted EBITDA and adjusted EBITDA margin both before head office costs stood at $13.9 million and 17.2% respectively compared to $10.4 million and 16.5% for Q1, 2020. Improvements in both metrics were due to the acquisition of Handicare. Revenue from our patient handling segment was $25.5 million for the year, an increase of $4.5 million or 21.5%, when compared to Q1, 2020. The acquisition of Handicare contributed 29.5% of growth while organically revenues contracted 4% and foreign exchange had a negative impact of almost 4%. Adjusted EBITDA and adjusted EBITDA margin both before head office costs stood at $3.7 million and 14.5% respectively compared to $2.5 million and 11.9% for Q1, 2020. The increase in both metrics was mainly due to the acquisition of Handicare. Revenue generated from the adaptive vehicle segment was $6 million an increase of $1.2 million or 24% when compared to the same period in 2020. Adjusted EBITDA and adjusted EBITDA margin both before head office costs finished at $0.6 million and 10.4% respectively compared to effectively nil EBITDA in Q1, 2020. The increases in revenue and adjusted EBITDA and adjusted EBITDA margin when comparing Q1, 2021 to Q1, 2020 were again, mainly due to the acquisition of Handicare as well as the Canadian emergency wage subsidies received. Now turning to some financial liquidity metrics. During the quarter, the corporation increase its debt level as a result of financing the Handicare acquisition on a pro forma trailing 12 month basis the corporation's debt to adjusted EBITDA ratio at March 31, 2021 was 3.5 times. The corporation expects a strong cash generation to continue and coupled with additional available financing continued discipline in terms of working capital management and capital expenditures, the corporation has ample liquidity to fund future projects and investments. Looking ahead, although it remains difficult to quantify the continued impact of the current pandemic accurately based on the results of Q1, 2021 coupled with the corporation's confidence in the strategic integration plan with Handicare that is underway and strong underlying long term growth fundamentals for our markets management anticipates the corporation will be able to achieve and adjusted EBITDA in excess of 100 million during fiscal 2021. And with that, this completes my prepared remarks, Marcel, and I'll turn the call back over to you. 
Marcel Bourassa: Thank you very much. Very well done and it's always more easier when we have good numbers, but at least you have done very good in your presentation. So there we go through some questions. 
Operator: [Operator Instructions] Your first question comes from Derek Lessard from TD Securities.
Derek Lessard: Yes. Good morning, everybody. And congratulations on the quarter. Obviously, so I'd like to talk maybe about some if any commodity labor or inflation pressures within your businesses that you're seeing and maybe if you are seeing some of your mitigation efforts there?
Marcel Bourassa: Yes. We are seeing that but Sebastian, you want to answer that one.
Sebastien Bourassa: Good morning Derek. So yes, there's inflation, I would say, like any industry right now for the electronics -- transportation costs. So maybe through the year, we could maybe see a 10% inflation and different parts of supply. But I think different times during the year, each division, we make some we pass some price increase in a customer. So as an example, if we get a 10%, inflation during the year. We might pass a 5% increase to our customer. So you might see some small noise from one quarter to the other. But in the long term, we should be able to keep the same margins. And don't forget one thing we're quite vertical integrated like from China to Toronto to different place and organization. So whenever there's inflation, we try to have a counter project that maybe we can make some savings, maybe we can start to be more vertically integrated and take on the long term, we should not be worried about that.
Derek Lessard: So that fall, let's say 10% inflation, you don't I mean, you expect to offset it either through price increases or through internal initiatives. 
Sebastien Bourassa: Exactly and I think we could see up to 10% during the year, I did not see we were exactly right, not 10% but definitely we are able to adapt to our business model.
Derek Lessard: Okay. Thanks and maybe now that you've had some time with Handicare under your belt just wondering if you guys have been able to identify maybe some other areas or other synergy opportunities that you perhaps didn't see during your initial due diligence?
Marcel Bourassa: Yes. For sure. For me don't forget, they’re like Savaria and in the country with some other dealers and then we have but something beginning was always just mentioning about the salary [Indiscernible] but now we say hey which span who can have a good mix of this project with their division in North America. And we have -- that we can work together and to cover more territory in Europe and what is important that we were not seeing that before. We see right now that on technology they are very strong. So we'll learn from them. That's good. When you partner up run just not one side. You have to listen to the other side too. So we learn that with the people down there, the guy Peter who run all the production we can learn a lot from then and be better of what we do right now. So their equipment, their use of laser or welding robot I think they are better than us. That's good to meet somebody that are better than us. And for sure, we'll learn on marketing I think down there, we’ve glare and charge of marketing and sales. I think she not good, she's very good. So we'll learn more to have meeting my guy will -- can explain that later but we have meetings with them every week. And on subjects and we have a subcommittee that will go deeply in one subject. So we learn that it will be better than what I was thinking at the beginning.
Derek Lessard: Thanks for that Marcel congratulations again and now I'll re-queue.
Marcel Bourassa: Thank you very much.
Operator: Your next question comes from Frederic Tremblay from Desjardins. 
Frederic Tremblay: So Marcel on your revenue target of 1 billion by the end of 2025. Can you share your vision as to how the profile of Savaria may evolve, get there will the company continue to expand geographically or will it add new products?
Marcel Bourassa: It's what we know right now. Example maybe around the world, we're not there and they need our kind of products But really I pulled out that we can be better far better in North America with a new products that they have. They are one of the king in their project [Indiscernible] and I think in Europe it would be a good country man what is doing down there and they have one manufacturer in China, so we don't sell a lot they don't sell a lot in China. That's a great territory. And definitely even in our [Indiscernible] all the equipment that we will build directly in China to sell to this market. What is important on the first -- is how many days it takes you to bring that to the consumer, the consumer when they are ready to buy they are ready to buy now. It's why in Toronto can Sebastian think talk about that. We will have by the end of this year working equipment the same that they have done there in Europe. That will be in Toronto for the North American market. So it's very exciting. And know something when you do the magic it was like more or less of magic new things to beat this 1 billion to do that do that sooner. So yes, we can find other thing, but I think we have a super right now a super products when we see a dealer nobody in the world can offer our products at the same rate. That's something you go to a dealer you say oh, by the way we have that, that that, we have the unit, the unit is a great product to sell. And that thing of Handicare is right behind, we love this product but it says it takes time to established and sell, it’s two different products. But the one they are enthusiastic about that. And we will I think we'll push that and we'll see some great number coming from Europe on this -- the product outstanding nobody is telling you something similar than the advocates. So yes I'm quite excited.
Frederic Tremblay: Thank you and maybe a question for Nick on the patient handling side. Can you just maybe provide your updated thoughts or views on how the demand environment is shaping up there in terms of access to facilities? We saw that the organic growth decline in the segment was less severe in Q1 so is that the sign that things are starting to improve on the demand side for that moment?
Unidentified Company Representative: Thanks, Fred. I would say that the short answer is yes. Although it is largely dependent on geography. So you have many pockets of the U.S. for example, which have reopened, or in the process of reopening, literally in the south, for example. However, there are other regions that remain closed, including Canada, and many parts of Canada. So just Ontario. But that being said I think we had a very strong month of March. It was a very strong not only for Handicare, but also for span. And so I think that kind of bodes well and gives us a lot of positivism as we kind of move into Q2. Some other things kind of just to think about the hospitals are coming back. So that's something that is good for our business, in terms of the hospitals being able to, I guess, provides these elective surgeries. That's where they make quite a bit of their profits. So again, more profits, more means of investments in capital equipment and the like. And maybe just a little anecdotal, little piece of news, our head of sales Clyde, he was telling me when I was talking to him earlier this week, that he just attended his first in person trade show in over a year. And so that was it was great for him and for that community to get together in person. So yes, I would say Fred to go back and maybe that was a long winded way of answering it. But I would say yes, it is reopening. And again, we saw that primarily in March and so our order intake is good. The backlog is looking pretty strong. So I think we're more positive. But again, still cautious. Like I said, there are still pockets that are struggling here in Canada in particular. So cautiously optimistic, let me put it that way.
Frederic Tremblay: Great. And maybe just a follow up to that on the maybe on the margin side, 14.5% in the quarter on other the second consecutive quarter of margins above your, I guess previously stated goal of 13% to 14% for this segment, anything, any read through there for what to expect moving forward or there was some onetime items in there that was in the margin in the quarter.
Marcel Bourassa: Over long term, I see that we should take -- at 1 billion we should take okay to have something around 16.5 that's our goal. And I think with the people, we have great people and I'll make people in Savaria all around 40 years old, had some a little bit younger but so they are strong, they are people, this is people with talent, and we find that with our other division that will work with you. So you want to compliment that Nicola.
Nicolas Rimbert: The one thing I would say is that we saw the exiting last year, the margin improvement was apparent in Q3 and Q4. We had the contribution of Handicare here in the first quarter, which again, helps, again, going back to what I was saying earlier that both of us had a very good strong month of March. So that kind of definitely helped in terms of the margin contribution of Handicare in the quarter. That 13%, 14% it is, I would say maybe the low bar, and Marcel talked about 15%. Yes, that is where we're striving to get to. So again, I don't know what you're modeling there for the rest of the year. But again we are positive in this segment and we see, should see some margin improvement there as well, especially as we work on some of the synergies that Marcel mentioned earlier between the span and the Handicare teams.
Frederic Tremblay: Thanks very much.
Operator: Your next question comes from Nick Agostino from Laurentian Bank. 
Marcel Bourassa: Bonjour Nick.
Nick Agostino: Bonjour I guess couple of questions. First on the view list. Can you guys talk to the demand specifically within Europe? How that product has been being received in that market?
Marcel Bourassa: Oh, yes. Sebastian was the look about that because he manufactured as and he can do the numbers will manufacture this year. And in 2020 how many, this year 21 coming from our guy, yourselves in Montreal, a salesman. We know the number and what we expected a little bit, but what we will do din Europe. So it's a great product and the margin is good on this project. And we are in our complete different company than other people who offer try to offer something similar. So can you talk about your predictions Sebastian your goal?
A – Sebastien Bourassa: So basically, Nick, just to give you a rough idea of numbers last year, we did around 100 units. This year, if I get to, I want around 180 units, I will see my backlog of [Indiscernible] the best EBITDA it has been since the beginning. There's a lot of marketing effort that has been done. A good portion in Europe especially like in Germany and Switzerland and now starting to talk to their dealer in Europe to the direct legation. So I think it will take time, but you will see some traction so differently this year, the 180 units is possible. And we said previously that by 2023 we would like to be around 30 million of sales so that we are in the right direction and I will say [Indiscernible] also has a big impact on all the other innovators like [Indiscernible]. So we are quite busy in the home elevator segment. Our backlog is good. For sure. Not all the business is good their commercials to training a bit behind the platform to the vertical platform -- residential will the only return is 30. That's a strong segment in this 2021 years.
Nick Agostino: Okay and my second question on the 10% EBITDA margin -- from the benefit from Handicare. If you look at your base business before the acquisition you guys are undergoing that restructuring. Maybe just give us an update as to where that sits today and where you guys think you'll exit the year when it comes to EBITDA margin on your base adopted vehicle business?
Marcel Bourassa: Sebastian?
A – Sebastien Bourassa: I think previously, we said that the target for the car business was at 10% of EBITDA. There has been some noise in the last two years because the sales were not there, we have to restructure a bit. So I think between the mix of the Savaria and Handicare, I think a 10% target for the car business over a certain time should be a good target for the segment of the business.
Marcel Bourassa: Yes and just to compliment that that's good Sebastian what we can say that it's really depends in your case, it's not easy but if you are in wheelchair, man, it's even more difficult. So but we have Finland. Now with that make 10% and I think we have some good perspective to continue on this side and van action, we work hard and me if we don't make 10% in this division, I am not happy, I am very happy.
Nick Agostino: Okay and my last question with regards to Handicare. You spoke earlier about maybe some of the positive observations from that acquisition. Now, you've had two months to look under the hood there. I'm wondering are there any things that caught you by surprise to the negative where maybe you feel that activity area you're doing a better job at and you can I guess support over two Handicare to improve their operation. So anything you can go back to them with from Savaria side.
Marcel Bourassa: It’s surprise that I want you to take possession, okay and that was quite a surprise. That was the departure of their CFO -- and she says she wants to be the CFO. She knew that we have Steve and she found a job and is in town. So this is less traveling time and we understand and she is great. She helped us to transfer more responsibility for the people that we have in UK. So that's the only thing. All the other thing that's what's negative. All the other thing are just one thing part.
Nick Agostino: Thank you guys.
Marcel Bourassa: Thank you Nick.
Operator: Your next question comes from Zachary Evershed from National Bank Financial. 
Unidentified Analyst: Good morning. It's actually Thomas calling in for Zack, congrats on that strong quarter. Two quick ones for me. First of all, can you remind us how Handicare's accessibility residential versus commercial split compares to Savaria and how each end market is faring in the current reopening?
Marcel Bourassa: That's an interesting question. I didn't think so. I am lucky I will take that one.
Unidentified Company Representative: Perfect. As you know, Handicare's accessibility segment is comprised of stair lifts. So both straight and curved stair lifts. Those products are sold primarily in the residential space to homes. Yes, you may find in some commercial settings, like maybe a community center but I would say that, for good purposes you can think of that as being a residential product and then on the Savaria side, in a more normal environment so it's a kind of maybe pre-COVID, our business was roughly split, sorry, 50/50 in terms of our commercial and residential applications. Again, you have many of our platform lifts, like the incline platform lift in many of our vertical platform lifts that are more maybe a commercial oriented product. And then obviously, our residential elevators and the stair lift that we were selling and some maybe small portion lifts are more geared towards the residential space. And what we've seen in the past year, in particular, during this COVID pandemic, is that our residential activity has maintained and has actually done very well. While the commercial has lagged a bit, as many of those reduce foot traffic, for example, in shopping centers, schools being closed, all of that has had a negative impact I would say on the commercial side of the business. So maybe in the current year it's a little heavier weighted towards residential. But again going forward as the economies opened back up and that commercial business comes back we may see it tilt, maybe not quite back to 50/50, but it will be closer to that in the near term.
Unidentified Analyst: That's helpful and maybe a second one for me. How does management feel about M&A and the usual dividend increase given the company's current leverage levels?
Marcel Bourassa: Can you repeat quickly your question?
Unidentified Analyst: Yes absolutely. So I was wondering how management feels about the usual dividend increase and the M&A prospects given the current leverage?
Marcel Bourassa: That's a good question and that's for me, dividends is part of our culture. I will say that we are always some kind of increase and we always do that in September. So you will see in September about the dividends after that acquisition -- our four big company that we work with span, for sure and [Indiscernible] and all the projects that we have at Savaria -- going on that we don't need to make any acquisition. We have enough to push this company to the 1 billion just our four transit, always going to want territory, and to your new products. For sure our dealer will feel maybe some pressure to buy from Handicare to stay always in the same family and now, you will always say, Oh, your products in -- if you have another one, come to visit us. Now we are there. We say to our people, we’re one of the best, or if not the best in the category of stair lift. So we don't need to make further acquisition. Just play around our key player -- and just find new territory. It's just exciting that you arrive at the number but we have to buy this company, this company, No. No. No. What we have right now we are very busy and my people are very in the game. So. that's our plan. No acquisition major for sure.
Unidentified Analyst: Perfect. Thank you very much. That's all I have.
Operator: Your next question comes from Justin Keywood from Stifel Bank.
Justin Keywood: Hi, good morning. Thanks for taking my call. Just had a question of clarification on the organic growth. If I heard correctly, it was negative 4% overall in the quarter, but I also heard that there was some FX impact. So I guess my question is does that organic growth include the negative headwinds from foreign exchange?
Marcel Bourassa: Steve?
Stephen Reitknecht: Yes. I can take that one. So it's overall a consolidated basis, the organic contractional was 5% in the accessibility and patient handling segments, it was 4%. So that's where the 4% came from. And the FX impact overall and consolidated basis was 1.7%. So looking at consolidated Savaria. So those are two separate numbers and it's not the 5% is not included that 1.7. So it's 5% on organic and 1.7 on foreign exchange.
Justin Keywood: So maybe closer to 3% contraction that's helpful. And then, I'm just wondering when we're expecting the business to inflect as far as the organic growth coming back kind of see the near double digits that Savaria has seen in the past, are we there now or is there a potential quarter upcoming where do you see that potentially playing out?
Marcel Bourassa: I would say this one and I tell you that you will see a major change in Q2 about organic growth, major change, and the change will be that I think we can be back 8% to 10% just on organic growth to make our 1 billion okay without acquisition but we will see. No. No. we are in the game. You will see Q2. Q2 is exciting. We normally debate we're in the middle of May. It's half of the quarter so far. If we are not, if we don't, they are able to know exactly or quite exactly the number of Q2 we have a problem, but we don't have a problem. So we're excited. We see the booking, the booking is just in Toronto the booking is up 60% in April considered -- in the April 21 compared to April 20. that's in Toronto. That's where we make our money and good growth, good money growth so we are very busy. So when you put that out together I am excited about the number that we show you in Q2. And Q2 -- for three months. And we will have this battle of pandemic, because last year [Indiscernible]. So can I say to my people, like, we don't have to beat Q2, 2020, we are running about Q2 of 19. That's the real comparison that we can do. But you will see that now we'll see some good growth. Thank you.
Justin Keywood: Thank you. That's very clear. And then my last question is just on the cash generation it's quite strong in the quarter, cash from ops was near 28 million. I believe that's a record for the company. Just wondering if there's anything particular to account for that generation. 
Marcel Bourassa: We have our specialist on that Steve.
Stephen Reitknecht: Yes. So just quickly we have a payable for the remaining 4.6% of Handicare shares that we're yet to acquire. We're working towards getting advanced title on those, and we're in the middle of this process. So that's set up as a payable, and that's where that showed up in the cash flow. So that's that 19 million is pushing that 27 million higher. So that's something that we're not going to see that continue.
Justin Keywood: Got it. Sorry, what was that amount that was in the payables?
Speaker: It's about 19 million - 20 million. 19.6 million.
Justin Keywood: Alright. Great. Thank you for taking my questions. 
Operator: Your next question comes from Michael Doumet from Scotiabank. 
Michael Doumet: Good morning guys. Good morning, I joined the call a little late. So I apologize if some of the questions are a little bit redundant. But I did hear some really interesting comments. Just in the last couple of minutes, Marcel, on your comments about the organic growth that you referenced 8% to 10% that doesn't necessarily get you to 2019 level. So for Q2 is the idea that we sort of get back to above pre-COVID levels or is that going to take a little bit longer?
Marcel Bourassa: You will see that we will be quite strong. And I don't want to promise something that we will not deliver, but for sure -- 2020. Let's start by that.
Michael Doumet: It does sound like you're optimistic at least from sequential perspective that there is improvement. So that's, noted. And then may be going back to even the prior comment, I understand that you don't expect to need to make any large acquisitions to get to that $1 billion in sales by 2025. So using the 2022 consensus assets for sales I mean that would imply about 10% annual growth on a per year basis. And presumably, you would do some tuck ins there as well. So organic wouldn't have to necessarily be 10. But is that the right way to think about it?
Marcel Bourassa: This is the right way, but I think like that. So we are at least to think like that.
Michael Doumet: No, that's great. And maybe getting to the nitty gritty. And again I was late to the call. So if we know these questions have been asked, I apologize. But any way you can talk to the organic growth rate and the top line trends that you're seeing in accessibility for Handicare. If I remember correctly, Handicare's organic growth momentum is quite positive in the second half last year. Was that maintained so far in Q1?
Marcel Bourassa: Yes. For sure. So they are very good in Q1 and it's looking very good to have a very good Q2 and if we take everybody out there and the accessibility, the accessibility we will see go back maybe okay for near 10% that too will be until the end of this year. And I am very optimistic within our booking just even on the [Indiscernible] our workers, we see progress more than 50%, in our manufacturing -- and even the straight if you have a good improvement. It's like the car. They are all together so you walk to another dealer and another dealer to buy and care so that push ourselves of -- and plus we have our stay at home stay at home, is very important. People are aging when you are aging that problem with the steps and to help you and as always this is a beautiful industry that was created in this region 30 years ago and even I am more excited right now because our customer makes you a check with a smile. So this is tremendous to be an industry to help the people, our foundation is going very well. By the end of this year we will have over 1 million in our foundation to the people who need some mobility. I am very-very strong on helping kids. Kids is the future. But it's good to be able to do all that at Savaria you think about other people's, our employee they stay with us for years, years and years, maybe I pay too much, but I'm very happy that they stay here, they are motivated. And that the success that we have at Savaria and when we have other people that they have the same spirit, the organic growth has comeback you will see in Q2.
Michael Doumet: That's great. It's fantastic color, Marcel. Appreciate it. Maybe one last question. Are you seeing any green shoots on the commercial side? And do you have any views on the potential incrementals from the proposed American jobs plan that calls for about 400 billion of investment in eight years for care and for elderly people disabilities?
Marcel Bourassa: Yes. So that's another good question. Nicola you are specialist of tax. We see that is very good and very strong on construction and the government want to push to have new home for elderly people. So Nicola your thoughts?
Unidentified Company Representative: Yes. Maybe on the commercial side in talking with our dealers and in speaking with the managers of our direct stores I mean they're sitting on some pretty good backlog there for the commercial. They're just waiting for certain projects to, I guess to get the green light. So what I would say is that as the commercial side, it's one where projects haven't been lost. I think it's more a question of delays. I think that's how we should think of it. And although there is limited visibility, I think what we were seeing from the guys on the ground is that when it does open, it's more like a light switch. I mean, that's kind of the way it's been described to me, as opposed to it being kind of a slow ramp up. It'll be very fast reopening. So that's probably the best color I can give you as relates to the commercial side and how we're seeing that progress. As it relates to government spending, it's difficult for me to sit here and talk to you about Biden's plans in the U.S. and whether they're going to get passed. The one thing I would say and this is both from the accessibility side and also from a patient analytic side is I think that there is going to be quite a bit of investment, not only in long term care but also as it relates to aging in place. It is an area of focus. You've seen in Europe, some of the more mature markets where they've realized that it's more cost effective to treat people in home as opposed to having them in hospitals and other facilities. So I do think that longer term we will see some significant investment both on the government and on the private side. But it's difficult for me to give you any specific numbers as to what that might mean for a proposal that's going through Congress at the moment.
Michael Doumet: Perfect guys. Thanks a lot for the color and you've got a great story here. 
Operator: You have a follow up question from Derek Lessard from TD Securities. 
Derek Lessard: Yes. Thanks for the follow up. Maybe another one, Nick on the patient handling. Wondering if you're already starting to see the benefits of the change in mix away from, I guess the long term care particularly as it relates to the exposure to the COVID.
Unidentified Company Representative: I'm not quite sure what you're asking here in terms of the mix away from long term care. Are you speaking of your treating patients in home like home care, the home care aspect of that business?
Derek Lessard: No, I'm thinking about how more heavily weighted the Handicare was towards acute care, right, and all the problems they had in long term care facilities in the U.S.
Unidentified Company Representative: Okay, the one thing I would note, just maybe a little difference between Handicare business and spans businesses that you're right Handicare does have more exposure to acute care in particular, in the U.S. I think it's a bit more balanced here in Canada, but in the U.S., it is much more lean towards acute care. One element about Handicare is products and the way it works is that these are products that get installed. So the ceiling lifts, it's a project that requires planning, project management, installation, many of their sales are for new builds. And so that's something that's a little bit different than with span is that new build facilities, there aren't any patients there. So it's much more easier to access and so then it's not necessarily a question of your restricted access to these facilities during whether it be during the pandemic or in the current environment is just more of a question of no construction site access that's more general in nature because there aren't any patients in these facilities as they're getting built. So I'm not sure if that helps to answer but that is kind of one of the reasons why we have seen some I guess some increase. I guess the revenue growth there has been stronger as we've kind of exited the pandemic period because they have had that exposure to certain whether it be the acute care space, surgeries coming back as I mentioned earlier, and also as it relates to these new builds were there any patients, so it's much more easier to access the facility as economies are opening up?
Derek Lessard: No, That's helpful. And maybe just one final one. Just wondering if there's any more, if you've been able to, I guess, see anymore improvements in the Handicare side from the lift up programs, you're seeing any more benefits from the lift up program?
Marcel Bourassa: Sebastian?
Sebastien Bourassa : I will start from basically the lift up program is true. We don't want to talk pretty much about it. It does happen at the beginning of Q3 last year is going to be fully rolled out by Q2 today that we get a full year benefit. But now I think the biggest thing for Handicare is making their budget. They have a good budget on the table for 2021. And both on the patient and the accessibility. And I think we'll find that a good start. And what we're starting to see is really the mix with the cross selling [Indiscernible] and Europe, already a few clients sold. Dealer are looking at it. And the next step will be really to do the stair lift manufacturing in Toronto. And this by the end of this year, we should see it and this will really help us to a bit set for -- save on some air shipping soon. Because if we currently have and that would give us a better lead time to the customer. Target is two days instead of three weeks. So that will really add to push the size to a new level in North America. So I think but lift up is over now we are really working on the new synergies with Savaria.
Derek Lessard: Thanks Sebastian. Very helpful. Thanks guys.
Operator: There are no further questions in queue.
Marcel Bourassa: So thank you very much guys. Thank you for being interested in Savaria and thank you for my people with me on this call. You are just great. Congratulations. And thank you very much. Stay safe.
Operator: You're welcome. This concludes today's conference call. Thank you for participating. You may now disconnect.